Operator: Good afternoon and welcome to the CytomX 2017 Midyear Update Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Please be aware that today's conference call is being recorded. I'd now like to introduce the first speaker Debanjan Ray, CytomX Chief Financial Officer and Head of Corporate Development. You may begin.
Debanjan Ray: Thank you, operator. Good afternoon and thank you for joining us for our midyear update on the CytomX Therapeutics business. Here with me today is CytomX's President and Chief Executive Officer, Dr. Sean McCarthy. Before we begin, I would like to remind you that we will be making forward-looking statements during this call including guidance on cash utilization, the evolution of our pipeline and expectations for our collaborations. Because forward-looking statements relate to the future, they are subject to inherent uncertainties and risks that are difficult to predict and many of which are outside of our control. Important risks and uncertainties are set forth in our most recent public filings with the SEC at sec.gov, including our form 10-Q filed today on August 7, 2017. We undertake no obligation to update any forward-looking statements whether as a result of new information, future developments or otherwise. A webcast of this call will be available on the Investor Relations page at CytomX's website at cytomx.com. I would now like to turn the call over to Sean.
Sean McCarthy: Thanks, Debanjan and good afternoon, everybody. Very pleased to be here today to provide a midyear update on our progress here at CytomX. During the first half of the year, we continue to advance the deep and differentiated oncology pipeline of potentially transformative property therapeutics that are focused on some of the most compelling targets for the treatment of cancer. Throughout the year the team has executed flawlessly on our operating plan, setting the stage for several important clinical milestones in 2018. Before I cover program updates, just a brief reminder that Probody Therapeutics are designed to exploit certain unique conditions present in the tumor microenvironment with the goal of more effectively localizing antibody binding and activity, while limiting activity and healthy tissues. Our pipeline built of this unique platform technology includes proprietary cancer immunotherapies against clinically-validated targets such as PD-L1 and CTLA-4 and first in class, Probody pro conjugates against highly attractive targets such as CD166 and CD71. These latter targets having been considered in inaccessible to conventional antibody drug conjugates due to their presence on normal tissue, we believe presents some very unique opportunities. CytomX also has strategic collaborations with several leading Biopharma companies such as AbbVie, Bristol-Myers Squibb, Pfizer, ImmunoGen and I'll provide a few collaboration updates a bit later on today's call. So now let's turn to our recent accomplishments, I'm delighted to say that we now have two wholly-owned product candidates in clinical studies. Most recently, we initiated the first clinical trial of a Probody drug conjugate or PDC that we refer to as CX-2009. PDC's are unique first-in-class molecules that target highly and broadly expressed tumor actions, previously considered inaccessible given their presence on normal tissue. We're extremely excited about the potential of PDCs because they allow us to potentially unlock an entirely new universe of oncology targets to pursue. Accordingly, CX-2009 targets the cell surface tumor antigen CD166, which is known to be present at high levels on many solid tumor types and to put this into some perspective, HER2 a target that you're very familiar with, the target [CAT] is of course highly and selectively expressed on certain breast cancers, accounting for this trans activity and not particular indication. CD166 by comparison is expressed on most solid tumors at HER2 like levels, to the similar to the HER2 level expression in breast cancer. So, we think it's a really attractive target. The payload for this product candidate is that they tansinoid VM4 under license from Nguyen. Enrollment began in late June in the PROCLAIM CX-2009 Phase 12 trial, evaluating the molecule in multiple solid tumor types that are known to highly expressed CD166 including non-small cell lung cancer, prostate cancer, calendula carcinoma and ovarian cancer. The dose escalation portion of the study is underway and expansion cohorts are planned as we reach the maximum tolerated dose with the objective of identifying indications with registrational potential. We're targeting the initiation of expansion cohorts in the first half of 2018 and we remain on track to deliver initial safety data for CX-2009 in the second half of 2018 together with the potential for an initial read on clinical activity. We will also be possessing a detailed overview of the study design at ASMO coming up in just a few weeks. Now let's turn our attention to our most advanced program CX-O72 a PD-L1-targeting Probody therapeutic that's currently valuated in the PROCLAIM CX-072 Phase 1/2 study. We lost this trial, the first clinical evaluation of a Probody in Q1 of this year, and we're making excellent progress towards data readouts in 2018. Our vision for the molecule for CX-072 is for it to become a unique and differentiated addition to PD combination landscape and the centerpiece of our emerging pipeline. The detailed study design was recently outlined at ASCO and the poster is available on our website. This trial is evaluating CX-072 as monotherapy and in combination with Yervoy, ipilimumab and Zelboraf vemurafenib. Of course, we expect to loan a considerable amount about the platform and CX-072 itself as the study advances, including looking for evidence of Probody activation within tumor tissue, maintenance of systemic Probody stability and of course the safety profile and initial activity of the molecule. Since the study is now well underway, I thought I'd take a few minutes to review the trial design and the rationale in some detail. Let's start with the monotherapy portion of the trial, which has three primary goals. First of course to provide initial safety data on CX-072. Secondly, to reach dose levels at which we are able to initiate the combination arms and thirdly, upon completion to allow us to progress to a monotherapy expansion in PD responsive tumors at the recommended Phase 2 dose. Now given the importance of the monotherapy arm in triggering additional arms of PROCLAIM CX-072, we've designed this arm to enroll very quickly. Therefore, we are enrolling patients with advanced unresectable solids tumors or lymphomas or if you like [old comers] regardless of PD-1 expression and regardless of whether these patients have measurable disease. With those criteria for enrollment into this arm, I'm pleased to report that enrollment, which began in February has progressed very well with five dose levels competed and the 10 mg per kilogram dose now enrolling in real time. Just for reference, just to remind everybody that dosing started in the study at 0.03 mgs per kg. So, we've made very rapid progress up to the 10 mg per kg dose and thus far no dose limiting toxicities have been observed to date. We expect to complete enrollment in this arm in the second half of the year and importantly, as I mentioned earlier, the completion of monotherapy dose escalation will trigger an initial monotherapy expansion cohort at the recommended Phase 2 dose to evaluate CX-072 safety and potential efficacy in its tumor type to be disclosed at a later date with known sensitivity into PD-L1 and/or PD1 inhibitors. So again, very pleased with the early progress in enrollment in the monotherapy. So now let's turn to the combination arms, which given the rapid enrollment in the monotherapy dose escalation, we're pleased to be able to announce that we've begun enrolling patients in two of the three planned combination arms in the study. Strategically, we believe that a key potential value proposition for CX-072 lies in its ability to enable combinations that have thus proven either challenging or impossible for those synergistic toxicities. We are of course all also very familiar with the demonstrated potential for PD CTLA-4 combinations and the severe side effects that patients could experience on these regimens and we remain strongly committed to evaluating the safety and efficacy of the CX-072 ipilimumab combination with the goal of ultimately demonstrating efficacy in the context of improved overall safety of the current and potential future studies we wrap. Enrollment is open to the ipilimumab combination arm, evaluating a concomitant schedule for CX-072 plus ipi in patients with advanced unresectable solids tumors or lymphomas. So again, in the old commerce setting, dose began at 0.3 mg per kilogram of CX-072 and 3 mgs per kg, which is the approved dose of ipilimumab. We will be dose escalating CX-072 thus escalating in this study throughout the year and into next year. So very pleased with that, that arm now being opened and in addition, enrollment is also now open in November vemurafenib combination arm in which we're evaluating CX-072 plus vem in patients with V600E BRAF-positive melanoma. The initial test level for this arm is 1 mg per kg for CX-072 and 960 mgs BID for vemurafenib which as with ipi combination is the currently approved dose of vem. Now one thing I'd like to specifically comment on here is that although the standard of care in this particular case is evolving to include addition on a MAC inhibitor on top of BRAF in addition, our goal to be clear is to evaluate whether the potential activity of the PD-L1 BRAF doublet gives us reason to believe that they could be more effective than that of the triplet. We think this is an important and valuable clinical experiment with the Probody and we look forward to seeing data from this arm in due course. So, in summary for CX-072 this is a molecule for which we see best-in-class potential in immune-oncology. Our study is well underway with three arms now open and we remain well on track to report data regarding initial safety and potential efficacy in 2018. Turning now to our partnerships, due to the wide applicability of Probody's both within the field of oncology and potentially another therapeutic areas, business development has been and remains a key area of focus for CytomX. Over the last four years, we've secured over $300 million in upfront payments and milestones through entering into alliances with BMS, AbbVie and Pfizer. Several programs in these collaborations are rapidly advancing and we're looking forward to seeing two-partnered assets enter the clinic within the next year. In our collaboration with AbbVie specifically, we are codeveloping CX-2029. This is a first-in-class Probody drug conjugate targeting CD71, otherwise known as the transferrin receptor. As with CD166, the target of CX-2029, CD71 is a highly attractive target, but to date has been considered inaccessible and thus undruggable by conventional antibody drug conjugate given its expression and function in normal tissues. During the second quarter, we advanced CX-2029 into GLP toxicology studies, resulting in a $15 million milestone payment from AbbVie to CytomX which will be received and recognized in the third quarter. And just as a reminder, CytomX is leading the preclinical and early clinical development of CX-2029. AbbVie will lead later development and commercialization with global late stage development costs shared between the two companies. CytomX initially received an upfront payment of $30 million in 2016 and will receive an additional $15 million in the third quarter as I mentioned and we're eligible to receive up to $455 million in additional development regulatory and commercial milestones pending the achievement of predetermined outcomes. AbbVie will lead global commercial activities with CytomX eligible to receive a profit-share in the U.S. and double-digit royalties on that product sales outside of the U.S. CytomX also retains an option to co-promote within the United States. Moving to our foundational alliance with Bristol-Myers Squibb, this collaboration has also made terrific progress in the first half of the year. During the first quarter, we expanded the original 2014 deal to include up to an additional six oncology targets and two non-oncology targets for a total of 12 targets under the collaboration. During the second quarter, CytomX recognized receipt of the $200 million upfront as part of this expansion. As previously disclosed, BMS is progressing R&D enabling studies for our CTLA-4 directed Probody therapeutic based on ipilimumab and discovered within the collaboration and BMS expects to initiate patient enrollment in early 2018. We're very excited about that program as is BMS and they also recently selected a fifth target in the collaboration under the newly expanded agreement and is now -- BMS has not selected five of 10 available oncology targets and I would say that work overall is going extraordinarily well on these programs. So before turning the call back over to Debanjan, I just want to underscore the impressive clinical and operation momentum and execution of the company during the first half of the year. So, it was a very strong first half for CytomX. We've continued our evolution from a research-intensive organization to an integrated R&D company bringing us closer to realizing our vision of transforming the lives of patients with safer and more effective therapies. With our wholly-owned lead programs CX-2009 and CX-072 now in the clinic together with our strong partner programs, we're advancing a deep and differentiated pipeline of Probody Therapeutics focused on some of the most compelling targets for the treatment of cancer and we're well-positioned to continue this momentum and we expect that our existing capital resources will be sufficient to fund operations into 2020. So, with that, let me turn the call back over to Debanjan, just to give a brief summary of 2017 second quarter results.
Debanjan Ray: Thank you, Sean. Prior to turning the call over for questions, I'd like to review selected financial highlights from the second quarter. We ended the second quarter with cash, cash equivalents and investments of $335.9 million. As Sean mentioned, the strong balance sheet allows us to fund operations into 2020 and gives us ample opportunity to advance CX-072 and CX-2009 to clinical proof of concept. Revenue was $8.8 million for three months ended June 30, 2017 compared to $3.1 million for three months ended June 30, 2016. This increase was primarily attributable to recognize revenue from the upfront payment received from the BMS in connection with the expansion of the existing collaboration. The $200 million upfront received from the expanded collaboration will be recognized over the next eight years. In addition, we will receive a $15 million milestone from AbbVie, which will be recognized -- received and recognized in the third quarter of this year. Research and development expenses were $28.1 million for the three months ended June 30, 2017, compared to $12.7 million for the three months ended June 30, 2016. This increase was primarily attributable to a $10 million sub license payment made to UCSB, which was triggered by the receipt of the $200 million upfront payment from BMS in connection with the expanded collaboration. The $10 million sublicense fee to UCSB also caused our loss per share to increase to $0.69 this quarter versus $0.39 in the comparable period last year. With that operator, we would now like to turn the call over for questions.
Operator: Thank you. [Operator instructions] First question is from Ying Huang of Bank of America. Your line is open.
Ying Huang: Hi. Thanks for taking the questions and congrats on the progress. Couple of quick ones. First on the enrollment of lead program CX-072, can you talk a little bit more about the enrollment and also whether you're seeing more competition for enrolment because I noticed that now we're expecting data to first be reported next year instead of late 2017? And then I have a question on the two clinical programs next year. I assume that's the AbbVie and also the Bristol CTLA program. Can you talk about where [that is] for the AbbVie program? Is that also expected to enter clinic next year? Thank you.
Sean McCarthy: So, with regard to enrollment, as I said, we're very pleased with how enrollment has been going. We’ve taken a fairly aggressive approach with regard to site initiations. We have more than 20 sites open now in the U.S. and ex U.S. and enrollment frankly is tracking ahead of schedule. I think we’ve been guiding for some time that the study readout for 072 and also for 2009 will be 2018 events. I think that we do of course have a broad-based translational program in place and still possible something could emerge from that over the course of this year, but I think it's really best to think about data emerging for the study in 2018. But again, we're very pleased with how our enrollment has progressed with the monotherapy to allow us to open up those two combination cohorts. With regards to the partner programs, yes, you're right, the two partner programs that I alluded to are indeed the CTLA-4 Probody with Bristol, which is making terrific progress and the AbbVie partnered CX-2029 CD71 targeting PDC. That AbbVie program we are planning a 2018 I&D. We’re not in a position to guide more specifically just yet. But we’re very pleased with the progress and obviously as announced have entered into GLP toxicology studies. So, the program is moving forward very nicely.
Ying Huang: Thank you, Sean.
Operator: Our next question is from Boris Peaker of Cowen. Your line is open.
Boris Peaker: Great. Thank you for taking my questions. The first one, I’d like to focus maybe on the 072 program specifically the BRAF combo arm. You mentioned that you believe that the doublet combo, could potentially be better than a mega triplet. I’m just curious what would need to see from this arm of the study to confirm this thesis and also if you may have any plans to actually run a triplet with a MAC inhibitor?
Sean McCarthy: Yeah. Hey, Boris, great question. So, as I said, clearly the field is evolving quickly in this context. Just to rewind a little bit and outline the rationale going into this particular arm, you'll recall that the initial clinical experience with PD-L1 with atezo and vemurafenib has shown considerable potential in terms of activity. But very severe toxicity, such that full dose of that combination is not achievable in patients and so our objective is to -- we are asking the question, and bear in mind that vemurafenib alone, does not display the types of toxicities that we’re seeing in those patients. So there seems to be something about putting them on top of PD-L1 backbone that amplifies its toxicity. So, the experiment, the way doing it, the hypothesis is that in the context of a targeted more systemically [close] PD-L1, in other words the Probody then can be tolerated in patients and the full dose given and therefore the full benefits realized by patients. We believe that the potential benefit of that doublet could be meaningful and potentially superior to the emerging data for the triplet, the atezo vem Cobi triplet, which was read out in terms of initial data, but still we've it still waiting on overall survival data. So, our objective is to do a simple experiment with the doublet rather than over complicating the experiment, by now putting on a MAC inhibitor. There is one additional reason to not put on MAC inhibitor, which is evidenced that the MAC inhibitor itself is somewhat immunosuppressive which could complicate things even further. So, we think this is a clean experiment. We believe the rationale is still very solid, and as I mentioned, the arm is open and enrolling at this point in time/
Boris Peaker: So, it sounds, just to make sure I understand you. The key here is to focus more on kind of the dose reductions or fraction of patients that may need it or may not need it more so than perhaps making conclusion based on any kind of specific response rates?
Sean McCarthy: Our objective would be to avoid -- again, the hypothesis here is that, we would avoid dose reduction and therefore be able to maximize the benefit for patients.
Boris Peaker: Great. Thank you very much for taking my questions.
Sean McCarthy: Thanks Boris.
Operator: Our next question is from Christopher Marai of Nomura. Your line is open. 
Christopher Marai: Hi, Sean, Thanks for taking the question and congrats on all the progress. Just wondering actually if you could elaborate a little perhaps on plans going forward with Probody technology in the T-cell redirecting the bio-specific space, and we've seen obviously some posters you guys have put up and some interesting data in the solid tumor settings recently from various competitors. So, I was wondering if you could perhaps comment on use of Probodies in a solid tumor versus non-solid tumor, or liquid tumor setting and then progress that you’ve been making there with Probody that redirect T cell? Thank you.
Sean McCarthy: Great. Hi, Chris. Thanks for the question. Yeah, we remain very excited about this application of the technology. We think there is a very clear need for safer, more effective T-cell engaging by specifics in the solid tumor setting. We have made great progress. Some of this work as you’ve seen has been published that you alluded to with an EGFR CD3 format, where we’ve been able to expand therapeutic window very substantially, pre-clinically and we’re concurrent thinking through our next steps for that another molecules in terms of advancing into our pipeline. You mentioned recent progress, I think I would point to the Roche CEA CD3 data at ASCO, which I think was encouraging for sure. A level of proof of concept that T cell redirection can be effective in early data, but it can be effective in solid tumors. We again, a bit like with our Probody drug conjugate strategy, we believe that we can unlock a new universal targets for solid tumors for this importance and emerging modality and we remain very committed to this research at this time.
Christopher Marai: And then just maybe one quick follow-up, you remind us that the BMS extended collaboration. Does that include any T-cell redirecting Probodies or am I mistaken? Thanks.
Sean McCarthy: So again, the expansion of the relationship, six additional oncology targets, two additional non-oncology targets and they are able to select the T-cell by specific format for certain targets should they wish?
Christopher Marai: Great. Thank you. Congrats on the progress.
Sean McCarthy: Great. Thank you.
Operator: [Operator instructions] Next question is from Biren Amin of Jefferies. Your line is open.
Biren Amin: Yeah. Thanks for taking my questions. CX-072, can you just discuss the immunogenicity profile that you’ve seen to date from the ongoing trials?
Sean McCarthy: Too early to tell, Biren and hi, by the way. Thanks for the question. So, we're ready to say at this point is, no DLTs observed to date. We'll be doing comprehensive PK analysis in the coming months.
Biren Amin: Okay. And Sean I think you mentioned that you wanted at least with 072 proceed into a monotherapy study with the tumor type that sensitive to PD1. I am pretty sure, you’re probably not going to discuss what that tumor type is today. But is one of the considerations that you could file a regulatory filing on Phase 2 data, when you chose that tumor type. And secondly, are you developing a companion diagnostic, and if so, are you currently using that in the current monotherapy and combo studies?
Sean McCarthy: Great questions, Biren. With regard to the first, of course, indication, selection is internally linked with in this area or clinical development, is intimately linked with potential registration strategy. It's too early to comment any further on that. With regard to companion diagnostic, just to make sure I understand the question. Are you asking about, PD-L1 levels, are you asking about something else.
Biren Amin: Yeah. Are you evaluating PD-L1 levels currently in the ongoing monotherapy in the epi combo studies?
Sean McCarthy: We are. We're certainly measuring PD-L1 status, we are not selecting patients in these early arms of the study. That’s something that we are consider doing a bit further down the road.
Biren Amin: Got it. Thank you.
Sean McCarthy: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call over to Debanjan Ray for any closing remarks.
Debanjan Ray: That concludes our call and our Q&A session. Thank you very much.